Operator: Thank you for standing by and welcome to the Evolution Mining Half Year 2022 Results. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would like to now hand the conference over to Martin Cummings, General Manager of Investor Relations. Please go ahead.
Martin Cummings: Thank you, Ben. Good morning and welcome to Evolution Mining FY 2022 first half results and December 2021 Mineral Resource and Ore Reserve update conference call. As Ben mentioned, my name is Martin Cummings and joining me on the call today we have Jake Klein, our Executive Chairman; Lawrie Conway, our CFO and Finance Director; and Glen Masterman, our VP Discovery and Business Development. Today, we released our FY 2022 first half results, an update to our Mineral Resources and Ore Reserves, and a presentation that covers both. On the call today, we'll be talking to the presentation pack. I'll now hand over to Jake and the team who will take you through today's presentation.
Jake Klein: Thanks Martin. Good morning everyone. Really appreciate you joining us. I'm going to start on slide three of the presentation which is titled Highlights. Since we formed Evolution in 2011, our strategy has remained the same; build a great team, focus exclusively on Tier 1 jurisdictions of Australia and Canada, have a small concentrated portfolio of high quality operations in well-endowed geologically prospective gold districts, and continually seek opportunities to improve the quality of the portfolio of assets. In that context, this has been a truly transformational period for Evolution, as we have achieved a genuine step change in the quality of our portfolio. Our average mine life is now over 14 years with good geological upside and we have consolidated our ground positions in each of the world-class districts in which we operate. Our EBITDA margin of 44% in the first half remains very strong, with improvements expected from ownership of 100% of Ernest Henry, turnaround at Red Lake yet to take effect. Our consistent focus on margins means that we continue to be conservative in our estimation of gold ore reserves and use a sector low price of AUD1,450 an ounce or $1,050 an ounce and have today released record high reserves of over 10 million ounces and resources of close to 30 million ounces. Importantly, we continue to return money to shareholders with our 18th consecutive dividend declared of AUD0.03 per share fully franked. This leaves us well-positioned for a very strong second half performance and our FY 2022 production and cost guidance remains unchanged. Turning to slide four, titled Accelerating Sustainability. Delivery of strong financial outcomes needs to be built on strong foundations. Our progress in the area of sustainability is respected by our people and communities and is also been recognized by external agencies which is encouraging. We are proud of our relationships with the communities and our First Nation partners and the shared value projects that we have committed. It's this improvement and ongoing commitment that will continue to underpin our relevance for decades to come. We also recognize our obligations provide a healthy and safe working place for our people. Place that’s safe both physically and mentally. I acknowledge and welcome the media attention that this topic is currently receiving. At Evolution we are supportive of the opportunity to actively discuss our performance and how we can do better. It is only through our commitment to providing a workplace that is free of bullying, harassment and prejudice that we as a company and as a sector will truly be the best we can be. Moving to slide 5, titled creating real shareholder value. Our strategy of focusing on quality over quantity and margins over volume, in our view is the pathway to being able to generate sector leading returns on the capital we deploy. You can see the double digit returns we have consistently achieved, whilst also extending the mine life at a cornerstone operation. These mine life extensions have been achieved through the drill bits or accretive transactions that have generally been negotiated on a bilateral basis and which add genuine value. This in our view is the Holy Grail in our industry and is the true measure of a gold company's performance over the long term. Cowal and Red Lake now have mine life visibility of close to 20 years and Ernest Henry and Mungari in excess of 10 years. This provides us a great platform to sweetly allocate capital and deliver on the outstanding organic growth opportunities we have in front of us. On slide 6, we outline the transformation of our portfolio. There have been lots of calls for consolidation in the gold sector. In the background we have quietly been doing this, actively securing and expanding our positions in areas we understand and we believe in the geological upside. At Cowal, we are on track to grow this operation to 350,000 ounces of low cost production. The underground project is on schedule and budget and we have commenced studies on being able to continue production from the open pit resources. At Red Lake, we took advantage of a window of opportunity to consolidate the district by acquiring the adjacent, Battle North assets. This quarter we are making encouraging progress in the turnaround of Red Lake, Lawrie and I are looking forward to visiting the site next week. At Ernest Henry, the integration is going well with a positive response from the local workforce and community. We've kicked off the pre-feasibility study to extend the mine life and have decided to extend the study at further 100 meters below what is considered in the concept study which is completed by Glencore and anticipated a four to five year mine life extension. As you'll hear from Bryan, we are excited about the geological potential of Ernest Henry. The consolidation of the Mungari District with the acquisition of the Kundana and EKJV interests have opened up an exciting range of opportunities for us at that operation. A prefeasibility study has been completed around an expansion of the mill to 4.2 million tons per annum and unlocks the rich mineral endowment of the District to achieve production of 200,000 ounces for at least twelve years. Recognizing the opportunity, yesterday the Board committed AUD 9 million to transition this into a full feasibility study which we expect to be completed in the December quarter this year. As we discussed the quarterly results there are headwinds, the headwinds of COVID and cost inflation. But as you'll hear from Lawrie, these are well and truly exceeded by the very strong tailwinds in the price of both our core commodities, gold and copper. With geopolitical tensions rising and inflationary pressure in the US increasing to its highest level in 40 years, it is encouraging to see investors turn to gold in its traditional storer of value role. With that I'll hand over to Lawrie.
Lawrie Conway: Thank you Jake and good morning, everyone. I'm pleased to report the interim financial results for FY ’22. On slide 7, we have our financial highlights that the initial glance it might look like the results for the first half were not good. However, when you consider the corresponding period in the half year to December 20, which was a record half year, gold prices were higher. Our operations were at different stages of their mine plans, and we had not approved some material growth projects. The performance to December 21, still positions us well to deliver a successful financial year. Our underlying profit was AUD 100 million, while statutory profit was AUD 91 million. The mine items of difference between the two profits at a AUD 10 million gain on sale of Mt. Carlton, and transaction, integration costs of AUD 31.5 million associated mostly with the Kundana acquisition. I'll go through the changes to the profit in the next slide. Our EBITDA margin remains very strong at 44%. And we expect this to increase in the second half by the Ernest Henry acquisition and improvements at other operations. Our cash flows were impacted by a 57% increase in capital investment on transformation and mine extension projects at Red Lake and Cowal, which ramped up during calendar year 2021. We have declared a fully franked dividend of AUD 0.03 per share. Turning to Slide 8, which shows the movement in net profit between the periods. Firstly, the changes in the portfolio that Jake mentioned, have delivered immediate results with AUD 44 million extra from Kundana at Mungari and the divestment of Mt Carlton. We will see further benefits from these transactions going forward. Lower gold volume at Mt Rawdon related to limited access to higher grade material in the pit during this half year, and Red Lake related to mining higher grade remnant areas in the December 2020 half year contributed to AUD 145 million reduction in gold revenue. The lower gold price was essentially offset by higher copper revenue. On the cost side, the volume impact of AUD 27 million was predominantly due to the transition in the open pits at Cowal and Mungari, where we were mining waste in the December 20 half year, which were capitalized costs and mining ore in the December 2021 half year, which are operating costs. This resulted in AUD 21 million of net additional costs expense in this half year. However, this essentially meant no material change to cash flow between the periods for these activities. Higher input prices impacted costs by the order of 3% or AUD 13 million. I'll cover the cost position on the next slide. Higher depreciation charges relate mainly to Cowal Stage H and the IWL, which are now assets in use. Moving to Slide 9, on our costs and the drivers. There has been no material change to our cost structure with labor, employees and contractors making up 52% of our cost base, while our top seven cost types comprise 87% of our total costs. Therefore, these items have the most impact on our costs and receive the most attention. As with our peers, and as Jake mentioned, the cost pressures have increased in the last six months and this has been from a mix of demand, supplier input costs increasing and logistics due to COVID. Thankfully, to date, we have not seen any material disruption to supply of goods due to COVID. As I outlined on the last slide, we saw input costs increased by 3% compared to 12 months ago. We expect to see our labor costs increased by 4% to 5% in the next year, but as has been our preference in the past, we try to move our labor costs by the variable components as opposed to the fixed pay rates. Our power costs in Australia are contracted until the end of this year, excluding Ernest Henry. They're coming off a lower price from a couple of years ago, and the new rates are going to be impacted by the market conditions at the time of contract renewal. The chart on the bottom right shows our sensitivities to costs and revenue. It clearly shows that spot metal prices outweigh potential cost changes as compared to our current cost base in our three-year outlook. We continue to maintain our discipline on cost control, including competitive market engagements and working on productivity and efficiencies. Turning to slide 10, and our cash margin, despite the drop this period, our EBITDA margin is still sector leading at 44% excluding Mt Carlton, the margin was 45%. Ernest Henry and Cowal continue to be standouts at 74% and 54%, respectively, with the additional copper and high spot price of copper, Ernest Henry will increase in the second half, while Cowal through access to the Stage H ore should also improve. We expect the group margin to benefit from the improvements at Mungari linked to Kundana and the encouraging progress Red Lake has made so far this quarter. These cash flows are enabling us to fund projects in execution across the portfolio, full production growth and mine life extensions. Overall, we are well-positioned for a strong second half and into FY 2023. Lastly, on slide 11, which looks at our dividends and the balance sheet. We have declared an interim dividend of AUD0.03 per share fully franked. This will be paid on 25 March and brings our total return to shareholders to around AUD1 billion. We have not changed our dividend policy, which is based on group cash flow. And when determining our interim dividend, we look at what we expect the full year cash flow to be. We know that Ernest Henry will deliver significantly more cash in the second half due to the acquisition of the remainder of the asset. And we have taken the highest spot prices that we will achieve in the March quarter into consideration. We continue to balance investing for growth and returning funds to our shareholders, which is underpinned by a very strong balance sheet. Our gearing at the end of December was 12.5%, which is before we paid for Ernest Henry in January. That said, we will still be well under our 35% limit and gearing will reduce quickly. During the period, the balance sheet was further strengthened by the successful US private placements, which extended out debt maturity at very low rates. We now have a very low average cost of debt at 2.6%. And importantly around 55% of this debt has fixed interest costs and is also our longest dated debt. With the current balance sheet strength, the expected better performance in the second half and current metal prices, we are very well-positioned to deliver better returns going forward. Thank you for your time this morning, and I'll now hand over to Glen to take us through the resource and reserve outcomes.
Glen Masterman: Thank you, Lawrie, and good morning. This morning I'll provide an update of our annual mineral resources and ore reserves for the calendar year ending December 31, 2021. Before I do, I want to acknowledge the hard work, long hours and inevitable sprint to the line, by all of our people involved in delivering the pleasing results I'm about to describe. I'd like to direct you to slide 12 of this morning's presentation, which shows our gold mineral resources increased 12% year-on-year to 29.6 million ounces with the addition of 3.2 million ounces after accounting for depletion. Gold Ore Reserves increased 5% to 10.3 million ounces up by 450,000 ounces of gold inclusive depletion also. The increased to the reported Gold Mineral Resources was driven primarily by additions at the Mungari, Red Lake and Ernest Henry operations. I will cover Mungari and Ernest Henry separately and in more detail on the next couple of slides. For this, however, I would like to briefly summarize the increase in reported mineral resources for the Red Lake operation, which resulted from the acquisition of Battle North and the Bateman underground project. Since May last year, we've completed a full rebuild and estimation of the block model. Our maiden mineral resource for the Bateman Gold Project was 5.1 million tonnes at 4.6 grams per tonne gold, the 757,000 ounces, which when adjusted for production depletion you would overall growth of 696,000 ounces to reported mineral resource at Red Lake. The main difference between our current estimate and the mineral resource previously declared by Battle North is that, we report only those resources constrained by optimized mining shapes versus reporting resources above a cut-off grade. Seven of the 19 Red Lake resource models were updated during the year to reflect new drilling information and/or new geological interpretations. The aggregate tonnes and grade have remain substantially the same, which reinforces our confidence in the veracity of the models. Improvements to the way in which we are mining at Red Lake, including reducing the amount of dilution and increasing mining recoveries in our stopping sequences, a positively impacting reconciliations, whether you're seeing production grade starting to trend back toward the expected reserve grade. Moving now to our copper MROR results. The acquisition of 100% Ernest Henry has driven a material increase in reported copper resources, which increased 63% to 1.4 million tonnes with an addition of 541,000 tonnes of copper after accounting for depletion. Likewise, copper reserves increased 27% to 640,000 tonnes with an addition of 135,000 tonnes net of depletion. As I will describe below, there is a somewhat outdated Glencore model – the Ernest Henry dating back to May 2021. And we're currently working on including the ad holes that have been drilled since then. We believe there is excellent geological upside at this deposit and expect more growth to come. Turning to Mungari on slide 13, acquisition of the Kundana, East Kundana and carbine assets accounted for most of the resource and reserve additions. Completion of the mill expansion pre-feasibility study enabled re optimization of resources at lower cut-off grades because of lower future processing costs anticipated in a 4.2 million tonne per plant. In total, the reported Mungari mineral resource increased 124% to 4.9 million ounces of gold and oil reserves grew 172% to 1.23 million ounces of gold. The key driver of value is the increase in resource and reserve grades, which reflect the high quality of the consolidated opportunity. In particular, the addition of the Kundana and East Kundana underground operations. The post acquisition combination of tenements grew our overall Mungari land position by 60% to over 1000 square kilometers in total area. This is the first time a single owner has been able to consolidate the highly prospective the legacy zone along much of its strike land. Drilling in the last six months at Kundana and East Kundana is confirming additional potential for extensions of mineral resources. The future focus of drilling will split between further derisking the future production schedule assumed in the PFS for the expanded processing facility and unlocking value in new opportunities across our large prospective land position that were not previously available Evolution pre-acquisition. Moving now to Ernest Henry on Slide 14, acquisition of 100% of the asset increased our reported mineral resource to 1.7 million ounces. The reported gold ore reserves, which are limited to the current life of mine area above the 125 meters RL were depleted by production, but partially offset by our adjusted ownership interest. Additions to reported copper mineral resources are attributed to the adjusted ownership interest above and below the 1125 meters RL and have increased to 885,000 tons of copper. Copper ore reserves are reported above the 1125 meters RL, only an increase to 269,000 tons under Evolution ownership. The December 2021 MR OR Ernest Henry is informed by Glencore's May 2021 block model estimate, which has been depleted to the December 31st 2021 void model. As mentioned previously, there have been almost 80 holes for over 20 foot, one km of drilling completed since the data cut off date.  We expect to release an updated mineral resource in the September 2022 quarter, which will incorporate all additional drilling completed since the May 2021 model.  Future drilling priorities are linked to improving orebody knowledge for the Ernest Henry extension PFS between the 1125 and 775 meters RLs. Drilling will also extend beyond the base of the PFS to delineate the continuation of orebody down to and beyond the 480 meters RL where strong copper and gold mineralization have been intercepted by the deepest drill holes in the mine. Slide 15 charts our MR OR journey since Evolution's origins in 2011. The highlight for me is validation of our strategy of identifying and acquiring quality assets in highly prospective geological terrains that have given our discovery teams the runway to continuing resources with the potential to extend the lives of our operations. The one example I would like to leave you with which I believe exemplifies our approach and that we would love to continue repeating in the future is Cowal. Over the last seven years, we have added over 6 million ounces in mineral resources, inclusive of depletion since we acquired Cowal from Barrick in 2015. The result has translated to almost 10 million ounces in resources and the conversion of 3 million ounces to ore reserves, net of depletion for total reserves of 4.6 million ounces and a mine life that extends to 2038. The results we've released this morning illustrate the strong platform we've built that will allow us to continue converting our large resource base and extend and our orebodies beyond existing resource boundaries. We have the technical teams and budgets in place to continue improving knowledge of our orebodies with the potential to make discoveries across our portfolio of high quality Brownfields and Greenfields targets. With that, I'll hand back to Jake.
Jake Klein: Thanks, Glen. I’ll just turned to slide 16, which is a summary slide. You can continue to expect our focus on the application of a consistent strategy, which you've come to expect of us, and which we believe is the best pathway to value creation in the sector. Our portfolio has been transformed and we have really high quality assets, a small portfolio of high quality assets. They deliver strong margins and we'll deliver even stronger margins in the second half of this year, a strong balance sheet as Lawrie said with 55% of our debts at fixed costs at very low fixed cost. As Glen has described, high quality resources and reserves, all of which are in tier one jurisdictions. And finally, and importantly, we have a great team, which is highly focused on delivery over the next six months and beyond. With that, I'll hand over to Ben who can open the lines for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Matt Greene from Credit Suisse. Please go ahead.
Matt Greene: Sure, thanks. Good morning, Jake and team. I have couple questions, first just on Red Lake if I may. Look, you remain confident, I guess in the technical aspects of the project and the delivery there, so my question is more just around the workforce, quite a mature workforce that have just done things in a particular way for a number of years before you acquired mine. And I guess since acquiring, you've restructured the cost base and then manages on the asset level there. So I suspect the remaining workers had to change quite considerably the way they operate. So if you can just provide a bit of color as to how receptive has that workforce been? How do you incentivize them and your relationship with union there? Just any, sort of, color you could provide on the dynamics of managing the workforce there?
Jake Klein: Thanks Matt. Thanks for the question. So just to clarify that the workforce is not unionized. We are fortunate to have Kirsty Liddicoat is our General Manager at Red Lake visit Australia this last week to participate in what was actually one of our first general manager leadership team forums that we've been able to have for a long time in person, but except for our WA colleagues who couldn't make it, and then she has also presented to the Board over the last couple of days. Look, it is a transformation, I think generally, we are transforming this operation from a very selectively mined high grade mine to what we describe as a medium grade. Our Mungari colleagues still describe it as high grade, but a medium grade higher tonnage operation. We have all the infrastructure in place and it is a journey to change the culture there. We're making progress. That's probably the most important thing. There is momentum building. And the commitment and understanding of our desire to change some of the mining practices is there. That's not to suggest that we don't have pockets of resistance to that change. But overall, we feel very confident that we can bring the workforce and a large number of them already on board with it along on the journey.
Matt Greene: That's great. Thanks, Jacob. Thanks for clarifying on union there. Look, if I -- just on Ernest Henry now then. I guess, at the time of the acquisition, the focus is really, I guess, life beyond the 1,200 level. And you didn't really assume any material cost out in your valuation -- on what's your synergies there. So -- and you're quite complementary, I guess, of how Glencore had run that operation. So, I guess, now that transaction’s closed, and look, you may still stand by this view. But I guess, are there any sort of near term opportunities that you are evaluating, perhaps not in the next six to 12 months, but maybe 12 to 18 months ahead?
Jake Klein: Yeah, I think there are. I mean, I think as Glen described, the geological potential of this ore body is very material to us and very prospective and the depth extensions are there. When Bob was talking to the board over the last couple of days and Harry Harrison, the General Manager, there was a lot of comment around some of the areas that may have been left un-mined outside of the cave area, which are readily reasonably easily accessible with existing infrastructure, but really weren't material to Glencore. So those are the sorts of things that, maybe much more important for a smaller company like ourselves and things that we're starting to look at. I think, I said on the quarterly call, the acquisition of Ernest Henry reminds me a lot of what we acquired when we acquired Cowal, a very well run operation, but somewhat lost within a very large organization, where a few 1,000 tons of additional copper was not material to them, but is material to us. So, we are looking at things which may have been less important to Glencore and are encouraged by the opportunity, recognizing that we did not assume a lot of that in our valuation model, and neither did we assume this fantastic copper price, which we're currently realizing.
Matt Greene: No, that's great. Thanks, Jake. And perhaps I’ll just squeeze one more in, just on your power costs, on the contracts there. Are you exploring renewable source contracts there, if they're available? And I guess, just, how long will these new contracts be in place for?
Glen Masterman: Yeah. Matt, the power contract generally will only be sort of up to two years. Our focus on the renewables is really working with the energy providers. I mean, our energy consumption isn't large enough to be a driving force in terms of the renewables, but in terms of working with the energy providers in making sure that the ones that we choose are moving more towards the renewable space. So that's really going to be our approach through this contract renewal period.
Jake Klein: Matt, just one comment I’d make, in an asset that hasn't got mentioned, but I think has some real latent option value is now broadened, with the potential to convert that into a very significant pumped hydro scheme. The feasibility studies being done on a 1 gigawatt being able to be stepped up to 2 gigawatt power supply, which would be material to the Queensland grid, would be fully renewable and a fantastic way to ultimately close what has been a very successful and long life mine.
Matt Greene: No, that's great. Thanks. Thanks, guys. That's all for me.
Operator: Your next question comes from Levi Spry from UBS. Please go ahead.
Levi Spry: Hi. Yeah. Hi, Jake, and team. Thank you for the call. Can I ask about Mungari. I imagine it's probably between 5% and 10% of most valuations. Is that about right? And can you talk us through, I guess, the move here over the next couple of years there on the way up to 200,000 ounces. I guess the TBR stakes, it looks like it's tracking well ahead of guidance at the moment. Just talk us through maybe that the vision for that asset over the next little while please.
Jake Klein: Yes, thanks, Levi. Definitely undervalued at 5% to 10% of our value but don't reduce the value of other assets to get that. Look, it's an interesting one. As Glen said, it's the first time that one owner has consolidated that entire the Zuleika shear district. We've got a very significant ground position. We have a good mark – a good mill there. As you know, Mungari as a standalone was looking at a fairly low grade future going forward and that's why we did the pre-feasibility study that said the best way to create value there was to build and expand the mill to 4.2 million tons. So without Kundana and east Kundana, the precedes said that the most compelling value creation opportunity was to expand the mill. We've now started to rerun those numbers and said, well, what about all these other opportunities, which have come with the EKJV and Kundana assets and there remains. There is a significant mineral endowment, the resource base is close to 5 million ounces, and there is exploration upside, so it makes that case even more compelling. We need to do the feasibility study. We need to be confident of being able to really deliver a plan there and Scott Barber is the general manager at the site is integrating the operations. So we need to take the steps slowly and appropriately. But our view is that there is a very significant amount of value creation to be delivered over there. Glen, I don't know if you want to comment.
Glen Masterman: Yeah, I think what we're going to be focusing on is really conversion of that large resource tail, which comprises both underground and open pit resources, converting those in the reserves that will continue to extend a production future at that expanded scenario that we're contemplating with the larger plant. The other opportunity at Mungari now with our consolidated land package is the ability to look at some opportunities that we previously had – what had not been available to us. And I think some of these opportunities, particularly new open pit targets, which aren't even on the books at this point, which will likely benefit as we analyze these in the coming 12 months from the processing cost scenario that the anticipated new plan and the several of these come from the Northern Star work that we inherited through the acquisition, which contemplated putting some of these opportunities through Kundana barrel, so we also get the added benefit of reducing wholeage wholly. So there is a number of these opportunities which are not on the books yet, but we will be assessing in the next 12 months.
Levi Spry: Yeah, okay. And can I just confirm the timing of the study?
Jake Klein: The fourth – December quarter this year this study will be completed.
Levi Spry: Okay, cool. Thank you. And one question for Lawrie just stamp duty test NG on Kundana and Ernest Henry, can you just talk us through modeling that?
Lawrie Conway: Yeah, so Kundana was around AUD 20 million, and for Ernest Henry, it's going to be upwards of AUD 50 million. And they'll both be done in this financial year.
Levi Spry: Okay. Thank you. And last one, just on the Red Lake, can you tell us how it's going last six weeks to go with some good indications on development meters and some of the KPIs in the month of December?
Jake Klein: Yes, it's going well. There are -- we said we'd have a substantially better quarter this quarter. We're on track to do that. We look at the weekly reports at the moment at Red Lake, they are encouraging green signs on those reports. What I -- I don't want us to get ahead of ourselves, we need to make good a habit at that operation and it's a journey. So, it's a transformation. We're on the right direction, we're feeling good about the last six weeks, but don't want to come to the end of this quarter and everyone goes, we're disappointed with that. So, we've got to deliver at Red Lake, we understand that and we want to do that.
Levi Spry: Great. Thank you. Thanks for your time guys. thank you.
Jake Klein: Thanks.
Operator: Thank you. Your next question comes from Mitch Ryan from Jefferies. Please go ahead.
Mitch Ryan: Hi, good morning Jake, Glen and Lawrie. Thank you. Quick question. I thought you said Ernest Henry on the 6th of January, but effective the 1st of January, you've increased your reserves and resource which were effective as of 31st of December inclusive of the acquisition. Is that -- have I missed something there?
Jake Klein: We took ownership effectively the 1st -- 6th of January, but was effective 1st of January. So, between midnight and the 1st of January, we included those resources and reserves. We'd already -- when we released the statement, we'd acquired ownership of Ernest Henry.
Mitch Ryan: Sure, not a problem. It doesn't change the outcomes, so interesting. And then Lawrie, just the implication for these fair value uplifts on your existing holding in Ernest Henry, I think there's some mention of it in note 16, but just if you could talk me through how we should be thinking about that -- modeling that for the full year results?
Lawrie Conway: Yes, Mitch, it's an interesting one. It's -- under the accounting standards, it's deemed to be an acquisition by stages, which means the first part the remaining value as at December gets uplifted as well as the assets that we've acquired or the remaining assets so we would see that at the moment, the balances at the end of December was around AUD300 million, that that will get uplifted, along with the billion dollars that we acquire. But essentially when it runs all the way through, you'll see an asset on the balance sheet, effectively about AUD1.3 billion, AUD1.35 billion, which then will start to be amortized over the mine life. In our appendix there you'll see that the DNA is been updated for Ernest Henry for this year. So, you'd see about AUD1,900 an ounce as the DNA. The reason for that being as high as it is, is that recall that the acquisition we made gets us the copper. We already had the gold down to the to the AUD1,200 and we also pick up the remaining gold and copper into the below the AUD1,200. That was in the old new reserves. So on a gold equivalent basis that that DNA is pretty well in line with what our group DNA is, which is around AUD600, AUD700 an ounce. So, that's sort of how it'll all be treated. At the moment, we've got 12 months to work through the purchase price allocation, but that's sort of what it will look like as at the end of December.
Mitch Ryan: Okay, thank you. And then I just wanted to spend a bit of time focusing on the Ernest Henry PFS obviously, you said that that's on track to the end of this calendar year, but I just wanted to understand, how do you think about -- that given that's only going to demo the 775mRL. And if you look at slide 14, there's potential beneath that. The interplay about -- is it contemplating things, such as, shaft haulage and/or convey - extremely convey down to that depth and how do you take that interplay? And if you are limiting yourself, I mean, to the 775mRL, when it looks like the orebody continues to dip?
Jake Klein: Yes, Mitch, that's a good question. But first, I must recognize the impressiveness you're getting to note 17 of the accounts already. The way we thought about it, and we had a presentation to the Board in the last couple of days was that at the 875 sort of cracking and conveying was Liebherr. So that's why we've decided to extend it down to the 775 with a view that in all likelihood, you're going to start to get to some sort of mechanized conveyance system and you'll be able to judge quite clearly. In the interim, Glen and his team will be looking at what is the potential depth extent. In all likelihood, it's going to be kind of a hybrid solution, because we do need to extend and start developing into those areas. And then we'll be looking at how the drill results come out and what the orebodies look like below that 775 level before we need to commit material amounts of capital today.
Glen Masterman: And just to add to that, Mitch, I think the 775 level is also where we have detailed drilling information that will inform the study -- the drill hole piece points into the orebody start to space out a little wider. So there's a bit more work to do to sort of as we go forward to continue sort of drilling underneath that 775 level, as well as some more into work to cap off on the pre-feasibility study we're working on.
Jake Klein: And just to reiterate, what Glen said in his speaking notes was, we basically depleted a Glencore model, so it's a slightly historical model from May 2021. We're going to include these 80 drill holes into a new model. The resource may be updated sometime in the September quarter, but then we need to wait for the completion of this pre-feasibility study to increase reserves, but we're confident that you will see an uplift in resources and reserves based on the drill data.
Mitch Ryan: Thank you, guys. I really appreciate the color. That's it for me.
Jake Klein: Thanks, Mitch.
Operator: Thank you. Your next question comes from Daniel Morgan from Barrenjoey. Please go ahead.
Daniel Morgan: Hi Jake and team. Obviously, lots of M&A activity both buying and selling in recent times. Just wondering if conceptually check your portfolios are done for a while, and it's all about integrating these assets and investing in them.
Jake Klein: Yes, Dan. Look, I think, we understand the need to now deliver. We have done a lot of deals in the background. They've largely been bilateral deals. They've largely been strategic around the assets that we believe in the geology of. And we feel we do have very high quality portfolio with lots of organic growth opportunities in them, but recognize also at the same time, Red Lake hasn't delivered as we expected in the last six months. And delivery is going to be a key to getting shareholder recognition and value.
Daniel Morgan: Thank you. And a question maybe more from Lawrie. Just on the debt, you've highlighted 2.6% of the -- I guess an interest cost on the debt. Just wondering, do I take that on your debt balances to get the finance costs, or are there some other finance fees I should add as well that are more fixed in nature, like $1 millions type charge? Thank you.
Jake Klein: No, Dan, effectively the only other costs, which are like on the revolver having that available, there's a charge on that, there's performance bonds as well. And really, what you'll see that that average rate is over all of that debt. The delta from there to the total finance charge is not going to be that material.
Daniel Morgan: And either for you Lawrie or for Jake, I guess the dividend, you did pay more than the policy on free cash flow, you've got circa AUD1.4 billion of debt now pro forma for the Ernest Henry transaction, including the 200 to come, how do you think about returns in terms of dividends versus paying down this debt level over the next couple of years and the amount of investment you've still wondering your assets?
Jake Klein: Yeah, I mean, when we look at it, Dan, yeah, firstly, the USPP was deliberately positioned to put longer dated debt in here, and then we've got AUD90 million of debt owing in the next six months, AUD130 million there about next year. And what we will do is balance that plus the investment in the assets and the dividends, what we'd see is that as you get to the end of this financial year, Red Lake should be running certainly at a higher rate than it has been in the first half, and therefore not being a drain on our cash. Cowal will have six months of the Stage H ore behind us and then in the start of FY 2023, it will be hitting underground ore, and then you've got Ernest Henry, which effectively from 1 January is giving us 70% extra copper, plus 70% of those costs, but it's going to be a net -- strong net cash generator for us to be able to reinvest in the business, pay the debt and also continue to pay dividends. That's really how we're going to be looking at it.
Daniel Morgan: Thank you. And the Mungari, no expansion last question. On page 6 of the presentation, you seem to indicate that by the end of FY 2025, if that is committed to it would be up and running. Is that how I should understand it?
Lawrie Conway: Yeah, that's right.
Daniel Morgan: Okay. Thank you very much for your answers.
Lawrie Conway: Thanks.
Jake Klein: Ben, are there any more questions? Ben? Operator? Alex, [ph] are you there?
Unidentified Analyst: Yes, speaking.
Jake Klein: Sorry. I think, we may have lost the operator. But we can hear you.
Unidentified Analyst: Okay, great. Okay. Couple of questions, firstly at Mungari to reach that 200,000 ounce per annum with the PFS study done. What, kind of, mine tonnage were you presuming from Kundana and East Kundana JV mine?
Jake Klein: So I think Alex, as we noted before, we were really thinking about it on a standalone basis, before we acquired that – that Kundana and East Kundana package. So that will be part of the feasibility study bringing it in but it is higher grade. Glen is optimistic about the prospectivity along that Zuleika shear, and we have as you can see on that diagram, we've included there are lots of opportunities, including Castle Hill probably being the nearest to the mine, where we've done quite a lot of work before because that was in the Mungari tenement package. Glen?
Glen Masterman: Just to add to that, it so that the way in which we're thinking about sort of the production mix, I mean, most of the production in the initial stages are going to come out of that Castle Hill area where we have a sort of a large low grade open pit resource. That'll be – there'll be a blending strategy and how we sort of mix with the Cananda production that will really drive the sort of production outcomes for that plant.
Unidentified Analyst: Okay. Did you have an idea of sort of what – what the peak capacity might be from – from those acquired underground mining operations?
Jake Klein: No. It'll be part of the feasibility study.
Unidentified Analyst: Yeah. Good. No problem. And Ernest Henry reserve grades come out at starting 0.93% in mining a bit higher than now over 1% and MNOI sort of considerably higher than both. Should we just presume MNOI maintains a little bit higher based on that modifying grade and mine grade would eventually drift lower to that reserve grade you've just put out?
Jake Klein: I think that would be the right way to think about it at this point in time. I mean, we don't really see or haven't seen any material shifts, particularly through our reconciliation intimation on a monthly and three month moving average to suggest otherwise.
Unidentified Analyst: All right. No problem. Thanks very much, guys.
Jake Klein: Thanks, Alex [ph].
Lawrie Conway: Ben is back. You back, Ben?
Operator: Pardon me, I'm back. Your next question comes from David Radclyffe from Global Mining Research. Please go ahead.
David Radclyffe: Hi, good morning, Jake and team. My question is on the Maintain conservative price assumptions you're using obviously couple of reserve resource statement. It can obviously be attracted chase the price, but it's been many years since prices average those levels. So just wondering, is this such an arbitrage now? Does this begin to constrain the business and I guess, what I'm thinking of is things like Ernest Henry as you go through the PFS study? Glencore was using much higher priced assumptions in Euros. I'm just wondering, if I could actually offset some of the upside of the additional ad hoc?
Jake Klein: Yeah, thanks, David. It is something that we we've thought about. We pride ourselves on the fact that we we've started at AUD 13.50 and we moved at $100 only at the last decade. We want to be conservative is this – is this gold price sustainable at above 25. Or it's almost $2,600. At the moment, it is something that we'll look at over the next 12 months. And it is certainly something that when we looking at Ernest Henry, we're looking at net smelter returns, and we are starting to think about things about how do we optimize the value of the assets. But we'll remain conservative, but assess that as we go forward.
David Radclyffe: All right. Thank you.
Operator: Thank you. Your next question comes from Kate McCutcheon from Citi. Please go ahead, Kate.
Kate McCutcheon: Good morning, Jake and Team. Two questions on Bateman for me. So the first one to Glen. So you've got a drop in grade that compared to the prior numbers that we've done, but total tons have increased significantly. Can you call out what's driving that on the back of combining to optimized strips but no extra drilling?
Glen Masterman: Okay, the reason why that's happened is in terms of the – I guess the pre-acquisition resource previously declared was entirely based on a reporting blocks in the model above a certain cut-off grade. Now what we've done is different that is that we've optimized to mining shapes. So that does include dilution, and obviously, some economics in terms of the ability to extract that resource. So that's what's driven the extra tons and that primarily and as a result the growth has come down a bit.
Kate McCutcheon: Yes. Crystal clear. Thank you. And then secondly, how are you thinking about prioritizing this just now you've had it for a little while? It's obviously, a lower grade than the rest of the Red Lake parts that you've got. But then again, you are still mine constrains?
Glen Masterman: Yeah, look, I think the first step for us is as you well have seen, we haven't declared a maiden reserve that is [indiscernible] plant for the Bateman project at this point. We recognize that there are some really good opportunities within that resource. We do have development to those areas at the moment, which we're currently drilling. And it's all about establishing grade continuity above our cut-off grade for reserve, which will obviously be the higher than the 2.5 pound cut-off in the resource at the moment. So that's the next step for us. We identify – with the goal of identifying sweet spots in that ore body where we can focus future mining.
Kate McCutcheon: Okay, that you are drilling at now. So obviously, we have a priority.
Glen Masterman: Yeah.
Jake Klein: I would just add that was all part of our due diligence. Nothing in the Bateman resource is surprising to us at all. It was included in our due diligence and our engagement with them in acquiring the asset.
Kate McCutcheon: Yeah, got it. Thanks.
Operator: [Operator Instructions] Your next question comes from Al Harvey from JPMorgan. Please go ahead.
Al Harvey: Hey, good Jake, Lawrie, and Glen, maybe just starting with you Glen. I saw the Mungari resource and reserve increase. I'm not sure if you guys can kind of break down the proportion that was unlocked from the lower processing costs from the mill expand and study verse just bringing on the ounces from the Kundana acquisition. That'd be helpful if you could elaborate on that.
Jake Klein: Sorry, Al, just coming off mute here. Yeah, so the relics, let's there are what in terms of the growth driven by the lower processing costs and at a larger plant is about 580,000 ounces in resources and about 250,000 ounces in reserves on a consolidated basis, fully consolidated basis.
Al Harvey: Awesome, thanks for that. Glen. Maybe just another one. Thinking about prior copper prices at the moment and lots of potential around like Cowal. Have you guys looked at any further opportunities, maybe re-looking at Marsden, for example, or any other opportunities in -- along the district.
Jake Klein: Our focus at Cowal is on delivery of the underground and also expanding. We've commenced an open pit continuation study and we see that taking us out to 2040 at Cowal on a 350,000 ounce a year, getting us up to that level. I think the team at Cowal have a lot in front of them and need to deliver what's ahead of them.
Al Harvey: Yeah. Thanks for that Jake. And maybe just -- apologies, if I missed this in the intro, but just wanted to touch on the labor costs rising 4% to 5%. Can you just elaborate on that a little bit? Are you seeing that across Evolution share and contractors and maybe if you can step us through the -- how you're increasing the variable versus fixed component.
Jake Klein: Yeah, Al. What we're saying is that, you're saying both here, our employee labor and as we're recruiting, we've seen the market move there. And it's the same for the contractors, I'd say, that there's not a lot of difference at the moment that we're seeing in movement in rates. What we've seen were 3%, 3.5% last year. We expect it to be around the 3.5% as a base movement this year. What we're looking at -- we run a variable system down to the entire organization, from operator level up to supervisor level and superintendent is on a quarterly scheme and beyond that’s on an annual scheme. So we're looking at those structures and how we can make those won and more attractive for bringing people into the organization and retaining them on above-planned performance. So that's where we sort of see that if we can achieve those, that would be a flow-on effect to our overall cost base in that 4% to 5%.
Al Harvey: Great. Thanks very much for that, guys.
Operator: Thank you. Your next question comes from Peter O'Connor from Shaw & Partners. Please go ahead.
Peter O'Connor: Good morning, Jake, Lawrie. Jake, thinking through the next couple of months in WA and COVID, how do you think it would play out? And how material could that be all the way to what happens with your assets and WA in general?
Jake Klein: Thanks, Rocky [ph]. We've been thinking about that a lot. I mean, I think we've been on record and saying that, we think that COVID arriving in WA is inevitable and it's positive that they’re looking to open up the borders. We are preparing for it as best as we can. So, obviously, Cowal and Red Lake have had the experience of having COVID present in their operations. And Mungari is taking the lessons from that. It's difficult to predict the impacts. We have had at Red Lake and Cowal up to 15% of the workforce unavailable at certain times due to COVID or either isolate -- or isolation. At this point in time, we're confident that we have done our best to put plans in place that will mitigate the impact.
Peter O'Connor: Thanks, Jake.
Operator: Thank you. Your next question comes from Michael Bennett from AFR. Please go ahead.
Michael Bennett: Hi, Jack. My question, I think, you just answered. But since I've got you, I think in your prepared remarks you mentioned, you get the feeling that gold is returning to its place as a safe haven asset for investors. I'm just interested in how you're sort of seeing, if you can provide a bit more color on this environment because obviously expectations rising, the current rates expectations, and the gold sector has obviously come off its highest from last year as the economy improved and alike. So can you just touch on what you were referring to in your remarks there a bit more?
Lawrie Conway: Look, I mean, I think the inflation in the US is the highest in 40 years. The Fed has never successfully been able to bring inflation like that under control without either putting the economy into deep recession or managing inflation within a reasonable limit. People are talking about 45 interest rates over the next 12 months, but that will never be enough to bring a 7% inflation level under control. So the Fed has a very difficult and small landing strip to manage this. It hasn't been done successfully previously before. My view is that they are on being conservative and that will mean that inflation will be higher than expectation on a longer basis or longer dated basis, which would bring people back to a store of value commodity like gold.
Michael Bennett: Great. Thanks for that.
Lawrie Conway: Thanks, Michael.
Operator: There are no further questions at this time. I'll now hand back to Mr. Klein for closing remarks.
Jake Klein: Thanks, Ben. I really appreciate everyone's interest and appreciate your time. Just finally a recognition and call out to our finance and technical teams [Audio Gap] and the MR OR statement finalized. It is a very high quality and very much appreciated. And finally, Lawrie and I are going to get rugged up because over the weekend we hope be in minus 35 degrees Celsius at Red Lake. I will speak soon, cheers.
Operator: That does conclude our conference for today. Thank you for participating. You now may disconnect.